Operator: Good morning, my name is Simon, and I will be your conference operator today. At this time, I would like to welcome everyone to the Pentair Q1 2012 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question and answer session. (Operator Instructions). Ms. Zawoyski, you may begin your conference. 
Sara Zawoyski: Thanks, Simon, and welcome to Pentair's Q1 2012 earnings conference call. We're glad you could join us. I'm Sara Zawoyski, Head of Investor Relations, and with me today is Randy Hogan, our Chairman and Chief Executive Officer; and John Stauch, our Chief Financial Officer. On today's call, we will provide details on our Q1 2012 performance as well as our full-year 2012 outlook, as outlined in this morning's release. Before we begin, let me remind you that any statements made about the company's anticipated financial results are forward-looking statements subject to future risks and uncertainties, such as the risks outlined in Pentair's 10-K for the quarter ended December 31, 2011, and today's release. Forward-looking statements included herein are made as of today, and the company undertakes no obligation to update publicly such statements to reflect subsequent events or circumstances. Actual results could differ materially from anticipated results. Today's webcast is accompanied by a presentation, which can be found in the Investors section of Pentair's website. We will reference these slides throughout our prepared remarks. All references today will be on an adjusted basis unless otherwise indicated, for which non-GAAP financials are reconciled in the appendix of the presentation. I’d like to also point out that the Q2 and full-year outlook does not include any future impact related to the pending Tyco Flow deal that we announced on March 28, as stated in this morning’s release. And we’ll be sure to reserve time for questions and answers after our prepared remarks. With that, Randy. 
Randy Hogan: Thanks, Sara, and good morning, everyone. Before we get in to the Q1 Pentair performance, I’d like to touch on the announced merger with the Tyco Flow Control, beginning with a quick refresher on Slide 3. We’re very excited about the proposed Tyco Flow Control merger announced at the end of March. We believe this transaction is a great strategic fit, increasing our global presence and exposure to high-growth attractive sectors. We’re confident in achieving our previously-announced financial targets, making the transaction very compelling, with $200 million of expected operational cost synergies and enhanced growth prospects and a stronger balance sheet. By any measure, the new Pentair will be a stronger company with exciting platforms for future growth and substantial value creation opportunities for all stakeholders. Let me provide an update on the transaction timeline, what we’ve been up to in the last 26 days, and what’s still to come. From a regulatory perspective, we completed the HSR filing last week, and now we’re in a waiting period with several other regulatory filings under way in foreign jurisdictions. We’ve established a integration management office and announced Todd Gleason, a proven Pentair executive, who many of you know, to drive a global integration planning, reporting directly to me. He will lead a team of approximately 25 to 40, functional and business unit team leaders, including those from Tyco Flow Control, once the transaction closes. These initial integration planning efforts will be critical as we ramp up towards the expected close at the end of September. From a business reporting structure, our intent is to add the three Tyco Flow businesses, led by their current business leaders, to Pentair’s existing five businesses, and report these eight global business units, or GBUs, in three segments. The three segments are Equipment Protection, Flow Control, and Water and Fluid. Importantly, the GBU leaders will be focusing on, and held accountable for their business unit performance, while the integration team will work closely with them, and with corporate to help ensure we achieve these synergies. Shortly, we’ll be filing the preliminary proxy statement in Form F-4 for SEC review. This will contain more detailed information regarding the transaction and the filings expected by early May. Still to come, our other customary regulatory approvals, mainly foreign, and of course, Pentair and Tyco International shareholder approvals. So we’re off to a good start in the planning for the pending combination with Tyco’s Flow Control business. As we work through these regulatory approvals and SEC filings, we’re limited in further commenting on the transaction. So we’d ask you to keep your questions focused on today’s main topic, our Q1 performance and outlook for the year. Now let me turn to the focus of this morning’s call; Pentair’s first quarter performance, and let’s start on Slide 4. The operating performance was solid in the quarter; we grew sales 9%, expanded adjusted operating margins, drove operating profits up 10%, and delivered adjusted EPS of $0.64, which was up 23%. While lower flood-related pump sales and further weakness in Western Europe tempered top-line growth in the quarter by roughly 4 points, we saw continued strength in many of the sectors we serve; industrial, agricultural, energy and pool, we’re all up double-digits in the quarter, with new products and expanded coverage helping propel our growth. Fast growth region sales were off to a slower start, but still grew faster than the overall Pentair. We continue to expect double-digit growth for the full-year in fast-growth regions, as we execute and have success with our growth plans. Margins increased another 20 basis points to 11.3% in the first quarter, better than we planned, even if sales were not. Our teams did a nice job driving greater productivity and executing pricing actions to offset material inflation and fund growth investments. I’m particularly proud of our Reynosa, Mexico operations team, who was recently recognized with a silver medallion Shingo prize award, that’s like the Nobel prize for top lean enterprise companies. It’s a great award. In Q1, we delivered adjusted EPS of $0.64 compared to the $0.52 in the prior year, reflecting solid operating performance across both segments, along with an unforecasted $0.07 tax-related benefit, which is the main driver of our updated earnings outlook for 2012. On cash flow, we reported a net cash usage, as is typical in our first quarter, but we’re on track to convert more 100% of net income to free cash flow, something we’ve done consistently eight out of the last ten years. All in, we delivered another quarter of solid operating performance with well-executed productivity initiatives, good price realization, and continued growth investments, which we believe positions us well for growth in 2012 and beyond. Now let’s turn to Slide 5 for a review of our Water and Fluid Solution segment performance. Water and Fluid Solution sales grew 14% year-over-year in the quarter, largely driven by the CPT acquisition, which added $68 million in sales. Excluding CPT, Water and Fluid sales grew 2% in local currency. Price realization was good, up 2%. Growth was impressive in Pool and Process Technologies, but lower flood related pump sales in a weaker Western Europe, tempered top-line growth in the quarter by roughly 5 points in this segment. As we announced early this year, we repositioned our Water business to better capture the CPT cost synergies, address the realities in the developed markets and support global growth. We combined our two flow businesses, Residential and Engineered Flow in to one business, which we now call Flow Technologies, and aligned our other businesses under Treatment and Process, that includes Water Purification and Process Technologies, and Aquatics, the new name for pool. I’ll go through each starting with the newly-combined Flow business. In Flow, sales decreased 3%, or 8% excluding CPT and foreign exchange. Due to a unseasonably dry winter and start to spring, flood-related residential pumps were down an estimated $15 million year-over-year. Additionally, as expected, municipal project pump sales remain soft, down roughly $10 million versus prior year. The remainder of the Pump portfolio performed well, with agricultural equipment sales up over 20% in the quarter and good growth in our commercial, fire and HVAC pumps. We’re seeing early successes of a broader integrated global pump portfolio. We’re increasing penetration and distribution in places like South America and South East Asia, and winning new orders through combined Pentair CPT sales efforts, in Qatar, Romania, and Kuwait for example, all helping to boost pump backlog over 12% from year end. I believe we’ve only just begun to see the benefits of our combined sales coverage, technology platforms and product portfolios in Flow Technologies. Within treatment and process, water purification sales were flat year-over-year in local currency. Fast growth region sales continued to grow at double digits, with India more than doubling again, as we expanded coverage and added new products. In contrast, sales in developed regions were down 6% in the quarter, largely in line with our expectations, as channel and discretionary pressures in residential softer components continued. Importantly, we did see U.S. inventory levels stabilize in European distributor sentiment improve from the October and November low points. New product launches remain on track, including a new treatment valve in Q2, and our industry changing innovation, Hybrid DI. This product, Hybrid DI, is scheduled for a limited launch in late June, with a broader launch in Q3. The Hybrid DI innovation system combines the benefits of reverse osmosis, or RO filtration, with those of a water softener, using compasitive DI innovation to remove hardness and total dissolve solids from water, all without employing salt. In addition to residential use, this ground breaking system can be used in a wide range of applications, including at hotels and restaurants, and the broader commercial sector. We’re excited about all these applications for this new product. In process technologies, sales were up 97%, were up 12% excluding CPT, and 14% excluding foreign exchange. Across the board, energy, food service, and advanced water systems, all posted double-digit growth in the quarter. Within Advanced Water Systems, we continue to see nice growth and desalination through the distribution channel, along with some project work. Food service has steadily added to sales each quarter as we grow with channel distribution partners and restaurant chains, especially the multinationals. We also continue to expand reach, globally and within key verticals, for example growing in Turkey, and adding new customers in convenience stores. Most notably, system sales and energy grew an impressive 41% in the quarter, as we pursue larger system sales, penetrate new applications within refineries and gas production, while growing recurring revenue and maintaining above average margins. Our Q1 performance demonstrates the great strides we’re making with our Polar X extractive separation system. This is the product that we took from the refining industry and are now applying in gas development. Our technology and system expertise provide alternatives to conventional natural gas treatment method, including [inaudible] at a fraction of the cost with better efficiency and superior environmental performance. While we see plenty of growth potential here, we believe dehydration could be what’s next for our separation technology in the gas production stream. On the acquisition front, CPT added $68 million in sales in Q1, contributing to both Flow and Treatment Process. While less than expected, due largely to a weaker Western Europe, backlog was strong and growing, in fact it was up some 50% from year end, which we believe sets up, sets us up nicely for 2013. One of our focus areas has been growing CPT sales in the U.S. These sales doubled in the first quarter as we increased penetration in dairy, beverage and water markets. We also have some exciting innovations with both our Megablock and Anaerobic-MBR solutions, now both in the marketplace. As we shared last quarter, we’re also developing a new technology platform around Hollow-Fiber nanometer Filtration. That improves performance, uses less energy and reduces the footprint compared to the usually applied RO solution. The first targeted application is the removal of silica from water in high-purity applications. While not set to launch full scale until the end of 2012, we’ve already won several projects in India, where many water sources have high mineral content, and the removal of colloid silica is critical for high purity applications. And in fast-growth regions, we won our largest order ever in Brazil with a strategic win in beverage selling a broad array of our product solutions, along with a recurring service contract. We continue to make great progress leveraging the CPT technology and cross selling opportunities in pump infiltration while driving more profitable growth. Turning to our Aquatic Systems business, we had another great performance. Sales were up 18% in the quarter, reflecting continued share gain, innovation, and good pricing, and likely some benefit from the good weather. Growth fundamentals remain strong in pool, with continued investment, a significant installed base, growing energy rebates, and good secular trims around sustainability, efficiency and automation. Our Eco-Select products continue to far outpace the industry growing over 40% in Q1. Leading the way were impressive IntelliFlo pump sales, which were up over 50% in the quarter. We continue to expand coverage in penetration, adding another 150 dealers in the quarter, and add new products to the lineup, such as the newly-launched automated residential cleaning system that is more energy and cost efficient. In addition, we recently completed the acquisition of Sibrape, a $20 million pool manufacturer and distributor in Brazil. With our innovation leadership and Sibrape’s critical dealer relationships throughout Brazil and South America, we’re poised to accelerate sales and strengthen our position in this important region. Share gain, targeted international expansion, and innovation investments, continue to drive great growth in our pool business. Aquatic shows that momentum is a beautiful thing. The right half of the page shows Q1 water and fluid operating profits in margin. Water and fluid operating margins decreased 20 basis points at 10.8% in the quarter, reflecting lower CPT margins. Successful pricing actions and strong productivity help to offset persistent inflation, while CPT seasonality negatively impacted margins by roughly 100 basis points. As we reach the first anniversary of the CPT acquisition, mid-Q2, we expect year-over-year improvements in CPT margins, giving our focus on lean and synergistic cost takeouts. With lean leaders now in all of the CPT sites, we’re making great progress, with 20% higher salt capacities in many of the plants, and improved sourcing cost already. Overall, I’m very pleased with the water and fluid segment performance for this quarter. Now let’s move to Slide 6 for a review of Technical Products. Technical Product sales were roughly flat to prior year and local currency, while operating profits grew 5%. Price realization was good, but volumes were down year-over-year, largely due to two factors, softer-than-anticipated Western European sales, and an expected end-of-life Telecom project. Communications, which accounts for nearly 20% of technical product sales, was down 23% in the quarter, with more than half of the decline resulting from the Telecom program going end of life, and the rest due to challenging market dynamics. Virtually all of the other verticals we serve continue to grow, with industrial and energy up double-digits, and commercial and infrastructure up mid-single digits. Cooling, a key growth initiative for Technical Products, grew an impressive 22% in the quarter, as we expand coverage and penetration with new products. In the quarter, we also had a nice win in the rapidly growing electric vehicle market, with a German energy company supplying Smart car charging stations. Like Water, Technical Products also saw fast-growth region sales slow in the quarter. We do expect sequential improvement in Q2 and a stronger back half helped by new localized production in Mexico and Brazil along with higher cooling orders in China. Even with flat sales, technical products grew operating profit 5% and expanded margins another 110 basis points to 18.6%. This marks our record margin performance for any quarter for this business. We believe we are well positioned to deliver the expected 100-plus basis point margin expansion in 2012 as pricing initiated in March reads through along with continued productivity, repositioning benefits and better growth. Bottom line in technical products is we continue to see nice growth in the core and drive productivity in lean to grow operating profits and advance margins. Now let’s turn to Slide 7. For our standard work, detail of free cash flow are on the left of the slide and a summary of our debit levels are on the right. On cash flow, we reported net cash usage of $82 million, as is typical in the first quarter, and continue to target another year of great-than-100% of net income conversions before deal costs. On dividends, we returned approximately $22 million to shareholders through dividends with an annual payout ratio of 32%. We continue to make steady progress on ROIC, which is shown on the bottom right hand section of the slide. Return on invested capital increased nicely from year end, up 40 basis points to 9.4%. Our goal continues to be driving ROIC back into double digits. Now let’s turn to Slide 8. In sum, we’re off to a solid start. We entered the year with the realistic view of the topline challenges, recognizing these realities, we were proactive in our repositioning efforts and leverage on productivity while remaining committed to new product and growth investments. In turn, price realization was good and operating performance was great, putting us on track to deliver our full-year operating profit target. We continue to meaningfully advance our strategy, expanding in new products, solutions and markets that directly align with the biggest mega trends that I believe are driving the world today and in the future. The population of wealth growth, or what we call the New, New World, is putting incredible pressure and demands on food, water, energy and industrial infrastructure. From [inaudible] to the transformational Tyco Flow deal, we continue to better position Pentair to serve this new world. In addition, we remain committed to organic investments for growth in serving these attractive trends, sustaining a higher R&D level to deliver customers what they need including better efficiency, sustainability, automation and safety. With that recap of Q1, let’s turn to Slide 9 for a look forward at our sales growth expectations. As you saw in the release this morning, we remain well on track to deliver our full-year operating profit targets. We’ve adjusted our full-year revenue assumptions a bit to reflect more modest growth and flow and a tougher Western Europe probably offset by a stronger pool performance. Again, beginning with flow, we now expect organic topline growth in the low single digits, reflecting the lower Q1 flood-related sales. All other assumptions are largely unchanged from where we saw things as we began the year, including a healthy replacement market in Residential Pumps, increasing contributions from Agriculture, and continued weakness in Large Project Municipal sales through 2012. In Treatment and Process, we continue to expect strong high-single digit growth with leading technologies and expanding applications in Beverage, Energy and Advanced Water Systems, there’s some exciting product launches for the back half of 2012. In Aquatic, we now expect roughly 10% growth in 2012, up from the mid-to-high single digit growth expectations. Continued success of our Eco-Select product line, dealer gains and pricing actions are yielding great results. Although small today, we’re making great inroads in Aquaculture, attending trade shows around the world, including one next week in Australia. And taking another step in thought leadership with Pentair sponsoring and leading a two-day conference on circulation aquaculture systems. These efforts in Aquaculture meaningfully expand our address to global market, from $3 billion in pools to an estimated $5 billion including Aquaculture, giving real meaning to our newly renamed Aquatic Systems business. In Technical Products, we now expect topline growth in the 2 to 4% range versus 4 to 6%, entirely related to Western Europe. We continue to see growth in key sectors; Industrial, Energy and Infrastructure and expect fast-growth regions to accelerate in Q2 in the back half as we expand our global cooling mission into Latin America and execute our in-region four-region plan for China, replacing the lost telecom project in the U.S. with products and solutions serving the regional needs. In sum, we continue to see nice growth in our best businesses and Pens continues to deliver, or as I like to say, ring the bell. With that, I’ll call it up – I’ll turn it over to John. John? 
John Stauch: Thanks, Randy. Please turn to Slide 10, labeled Operating Margin Expectations. We’re starting off 2012 nicely. With 20 basis points of overall expansion, despite roughly 70 basis points of headwind from our soon-to-be anniversary CPT acquisition. For the year, we expect overall margins to expand 50 to 80 basis points inclusive of CPT. Lean discipline and productivity enhancements, along with some repositioning savings lead margins higher in Q1, all while continuing to invest more in R&D, technology and selling and marketing growth initiatives. Roughly 3 million of repositioning savings was delivered in the quarter, in line with our expectations and keeping us on track for over $20 million of full-year savings. As a reminder, this equates to approximately 1/3 of the top end of the net productivity range we are assuming for the year, which gives us a higher level of confidence in our operating targets while helping us fuel future growth. Our price cost dynamic improved in the quarter with broad-based pricing of 1.3% offsetting material inflation. For the full year, we continue to expect pricing from approximately 150 to 200 basis points as we fully realize the benefit of Q1 and early Q2 pricing actions. We continue to expect material inflation in 2012, but much more moderate than the plus-4.8% last year. Another key enabler of our margin expansion will be improving CPT margins as we anniversary the CPT acquisition mid-Q2, along with volume leverage, we are driving material sourcing savings, lean transformation and a tighter profit focus to increase profitability. As demonstrated in Q1, we’ll continue to prioritize and pace our investments with productivity funding, R&D and sales and marketing investments critical to driving share gains and delivering long-term sustainable growth. On margins, we’re off to a great start in Q1 with ramping productivity, repositioning savings and pricing benefit expected to drive further margin expansion as the year progresses. Please turn to Slide 11, labeled Q2 Outlook. For Q2, we expect Water and Fluid revenue to be up approximately 10% compared to the prior year quarter with Technical Products flat to down 2%, reflecting lower Western Europe sales and the remaining end-of-life Telecom project. This puts total Pentair revenue up 6 to 8%, including the contribution from CPT of approximately four points, or roughly $40 million in sales. We expect operating income to grow 7 to 12%, which equates to operating margins of between 13.5 to 14%, above the Q2 2011 margin of 13.3%. We expect water and fluid margins to be modestly better than prior year’s adjusted 14.2% at roughly 14.5%. We expect Technical Products margins to expand another 100 basis points at roughly 18.5%. Below the line, we expect interest expense to be about $3 million higher in Q2 of this year versus Q2, 2011 as we anniversary the CPT acquisition mid-quarter and a tax rate between 28 and 29%. Overall, we expect earnings per share in the quarter to be between $0.79 and $0.82, which equals growth of 5 to 9% over last year. We are expecting cash flow of $180 million as we move towards free cash flow conversion of greater than 100% of net income for the year. Please note that if you turn to my last slides, slide number 12, labeled Full Year 2012 Pentair Outlook, that both the second quarter and full-year outlook do not include any future impact from the pending merger with Tyco International’s Flow Control business, including the acquisition and acquisition-related costs as discussed earlier in the call. For the full-year 2012, we are updating our previous revenue guidance to reflect the Q1 performance but importantly, maintaining our full-year operating profit targets and raising our full-year earnings outlook. We now expect revenues to be up 6 to 8% to about $3.7 billion, reflecting a weaker Western Europe and the first quarter weather related sales shortfall. Our operating income guidance range of $445 million to $470 million remains unchanged with the strong start in Q1 lead by increased productivity, better price cost performance and prioritization of key global investments. This operating performance should yield 50 to 80 basis points of margin expansion in 2012. We continue to expect another solid year of EPS growth with earnings per share at 2.65 to 2.80, up 10 to 16%, which reflects the first quarter results and a modestly higher diluted share count. We expect free cash flow in 2012 to be at least 100% of that income. Furthermore, we are still targeting a greater-than-60 basis point increase in ROIC by the end of 2012 as we drive to improve returns for our shareholders. Now, let me turn it back over to Randy for the summary on Slide 13. 
Randy Hogan: Thanks, John. The start of the year showed great Pens execution and nice growth in our business. Growth in initiatives are yielding results with increasing contributions from Agriculture, Energy and Industrial Process where we’ve been investing in innovation from global capabilities. Greater productivity and operating efficiencies should fuel continued margin expansion. A key measure of progress and execution is ROIC, which is fast approaching double digits, a significant mark for Pentair. We believe we’re well positioned to continue to deliver sustainable profitable growth in 2012. With that, we’ll be happy to take your questions. Simon, could you come back on and open the line? 
Operator: (Operator instructions). Your first question comes from the line of Hamzah Mazari with Credit Suisse, your line is open.
Hamzah Mazari – Credit Suisse: Good morning, thank you. The first question is just on revenue – on your revenue expectations. I’m just trying to understand, you know, how much of this was timing and how much is incremental weakness in Europe and some of your other markets because, you know, guidance isn’t really changing but it seems like the moving parts are. So I’m just trying to better understand that.
John Stauch : Let me start with the flood-related piece. As Randy mentioned in his comments, it was about $15 million. If we go back six, seven years, we average anywhere in the flood SKUs in Q1 between 45 and $50 million. We were close to the $30 million level and obviously that’s related to the lack of snow and the lack of melt. I just remind you that that’s retail related, primarily, and it doesn’t come with huge margins. So even though it’s a headline as far as the sales, you know, it was something we were able to handle within the operating income performance. As Randy mentioned, we were able five points lighter in Europe. You know, for us that was 15 million-ish and most of that was in Technical Products versus forecast. Again, not one of our higher-margin product lines, but those two things, as we move throughout the year, the flood is unique to Q1. I mean, there is a mild flood season that occurs in Q3 from hurricanes, but that’s not of the magnitude that we see in Q1. And Europe gets easier on a year-over-year comparison basis, you know, as Q1, to Q2, 3 and 4 last year was on a downward slide. So these year-over-year headwinds get a little easier for us to handle. And finally, we were a little bit off in fast growth, but a little bit of that was strategic in the sense that we were identifying that some of our sales and products into those products were finding them way back into Europe and North America, as normal, in distribution businesses. So we adjusted our SKUs and our product lines reflect that. And we, once again, know that that corrects itself at Q2. So, you know, as you kind of look at the Q1 headline growth and we look at those trends in Q2 to Q4 we see the flood turning around completely and the Europe piece easing and the fast growth accelerating.
Hamzah Mazari – Credit Suisse: All right, that’s very helpful. And then on your North American residential businesses, maybe if you could comment on where you think we are in the cycle there. I know we’ve been in a downturn for a while. It seems like the pool business is doing well, [inaudible] filtration may be mixed. You know, how much of that business is replacement versus new? Are you seeing a turn there? Anything you can give us color on in that business.
Randy Hogan: We think, basically, it’s over 80%, it’s all replacement now. You know, and we characterize it as [inaudible] on the bottom. As we think about U.S. residential from our perspective there’s three different market drivers. If you take a look at what’s driving pool, it’s the fact that people that have homes or in homes or even if they’re buying homes and they maintain their pool and because of the innovated products we have to save energy, to save chemicals, it’s a really compelling economic justification and there’s over 30 utilities now that are rebating upgrades of those products. So it’s really innovations in a market that has money. That’s what’s driving pool and so, you know, there is an increase we’ve seen at the markets of some pools builts, which is nice. But I think it’s really the innovation and the demographics of continued growth in the south where people have pools is – we’re back to that. Then there’s the, what I would call the, flow business, it really is more related to replacement, it’s probably closer to 90% replacement right now. We’ve, for us – for ourselves, you know, we had a few years of lost market share and that was corrected in 2011 and we had slight uptick and I think we’re in a very good position now in residential flow. Admittedly we do have a weather affect that we just talked about. And then finally there on the filtration side, that really does tie – the water softener business and the filtration ties closer to what I would call a discretionary spend in a house or a housing start related, which is why we see that softener affect right now. And we weren’t counting on a turnaround right there, that’s why that business actually performed well versus expectations in the first quarter despite the fact that sales were down. And we’re introducing innovations there that could really change the game with Hybrid DI. So we weren’t counting on a residential recovery in 2012, and I would say we were right about that, even though housing prices look like they at least, the last report they were stabilizing. You know, it is the more stable market today, but we’re, again, not counting on a big step up from housing starts this year. Nevertheless, we think all three of the businesses we have in residential are going to perform well this year.
Hamzah Mazari – Credit Suisse: All right that’s very helpful, appreciate it, thank you.
Operator: Your next question comes from the line of Deane Dray with Citigroup, your line is open.
Deane Dray – Citigroup: Thank you, good morning. As we get ready to anniversary CPT, you called out a couple of interesting data points in terms of the performance in the quarter and I wanted to start first with doubling U.S. sales, and that was the big opportunities since CPT had lost their distributor. And so now, just kind of refresh us on the go-to market strategy and when you say double sales, is that a channel fill or you’re actually getting a sell through?
Randy Hogan: It’s mostly project business. So let me just back up, Deane. CPT had lost earlier basically their market partner in Ionics when GE bought them, which really took them out of the water space. We’ve had some modest success in the U.S. in the water space, but right now the water spending is still pretty low. The real driver that we’ve picked up is in dairy and beverage. And what we did is we took the sales force and we really focused it and said, it’s a direct sale, it’s a project sales business, it’s selling, you know, a whole array of products that we have from the valves to MBR’s to CO2 recovery to diagnostic equipment. And by focusing the team there and then beefing up that team and really building better strategic relationships, our hit rate is going up and it’s exciting. You know we’ve talked about the Anaerobic MBR plant, we’ve got to go down there and take some folks down there, which we’re really excited about. But we’ve had some great wins in the brewing industry and we have more than we expect. So it’s really – what I would call it, it’s really more technical selling and investing and focusing on the food and beverage side. And we’re improving the relationships on the water side. We’ve had a couple nice winds, but again the market rate there is not really recovered and it will be tough until municipalities have built a little bit better cash flow.
Deane Dray – Citigroup: And the backlog being up 50%, I don’t really – you don’t think of CPT as a big like longer-recycle backlog business. Is this related to project timing, can you size that for us please?
Randy Hogan: Well, we think, and you know certainly going forward we’re going to talk more about backlog and more about origin sales. They are more of a – they do sell cartridges, you know, they sell membranes but a lot of them get sold in projects. And so I would say over half of their business is longer cycle. They were a little disappointing in sales in the quarter but on orders they blew it out. So we’re talking about right now just on the filtration side, them going from 100 to $150 million in backlog, which is a meaningful level of backlog improvement. And then we took the smaller pump piece and put it with flow technology and that’s up, as I said earlier; those are up 12% in orders even though the sales are flat. We’re going to talk more about that.
Deane Dray- Citigroup: Great, any update on the endocrine inhibitor, the new products that you talked about earlier in the – last year? 
Randy Hogan: Yes, you know, we talked earlier about the Phase I of the nanofilters, which is focused on Silica and, you know, we caught Alpha. So we’ve got an Alpha launch on that and that’s where we’re, you know, we’ve sold these products in India and we’ll have a Beta launch which is the next step before the full commercial launch because it is a technical sale in the third quarter. We’ll also have – the next phase is focused on color and clarity, and that product will launch by the first quarter of next year. And then the endocrine, which is the most technically advance, we’ll have that in what we would call Alpha test in the first quarter of 2013. So we’re going in that sequence as we have talked about before. And we like the Silica application but the commercial opportunities in color and clarity and endocrine disruptors are much bigger. So we’re keenly focused on getting there.
Deane Dray – Citigroup: That’s great to hear. And just last question for me if I could. One of the things we learned in our visit to Aquatech last fall is your focus on building skidded systems as opposed to selling individual pumps is, just refresh us, where is that – is that business in the treatment process side of water, how big are the skidded systems today, and a little bit about the engineering know how in putting those together.
Randy Hogan: Right, as you know we were in that business before we bought CPT. And one of the things we wanted to do – let me answer your question. It’s largely on the water side. So it’s water treatment and it could be both for drinking water and for wastewater. So largely, those are the skid systems. We do some systems work as well in food and beverage and some of those are skidded, but the ones we’ve talked about and showed were largely on the water and wastewater side. So what we’ve done is we’re focused on trying to drive to more of a manufacturing standard on these skidded systems so that we have standard products and we’ve raised the content of the product. As I said, the water business has been slower than the food and beverage business but we’re making progress in terms of improving the margins in that business and importantly, skids aside, we’re also focused on building straight X-Flow membrane sales to other people that play in that space, which I’m very encouraged in, which while they’re still brand at X-Flow, is along the lines of the strategy to try and improve our private label branding, if you will. 
Deane Dray – Citigroup: Great, thank you.
Randy Hogan: Thanks, Deane.
Operator: Your next question comes from the line of Jim Lucas with Janney Capital Markets, your line is open.
Jim Lucas – Janney Capital Markets: Thanks, good morning, all. 
Randy Hogan: Good morning, Jim. Bigger picture question, you know, if you look at the first year of owning CPT as the integration has gone along can you talk about lessons learned, both the pros and the cons in terms of Pentair having this long history of being an inquisitive company, just what you taken away from CPT integration process.
Randy Hogan: My first – the first thing I’d say is, I really do believe we’re getting to the point where applying Pens to business as standard work. I’m really – we’ve raised – I toured two factories and they both gave me capital plans when I first toured them because they were out of capacity. Neither of those plants – we didn’t have to spend any capital and we’ve increased the capacity in those two plants by 20%. So we really are getting good at applying the inside the four walls lean enterprise. So that’s the first item I’d say, the second learning is that we’re getting better at combining in the marketplace, in the sales. Just in this quarter we had $2 million of sales that I can identify in just on the Flow side, the Pump side. $2 million of business from the combined efforts of CPT and our Flow business and our legacy Pentair flow business and that’s, you know, if you will, the legacy Pentair folks are selling an [inaudible] product or vice versa. So you know, those examples I talked about, [inaudible] and Romania and Kuwait, those are examples of both of those and Nihouse and Fairbanks Morris product being sold by the alternate sales force. So those are positive. I think the other learning is technology is very, very exciting and the food and beverage business is very, very exciting. As we get deeper into that we see more and more opportunities to apply it. And the – I guess the last thing is, you know, as we’ve talked about before, their margins at the start were a little weaker than what we would’ve liked but we’re still committed to get them to the double-digit level as soon as we can.
Jim Lucas – Janney Capital Markets: Okay that’s very helpful.
John Stauch : And Jim, I’m just going to add to that. I mean, clearly understanding, and we knew it going in, but we learned that as you see a business that’s for sale like that, you might have projects in the backlog that don’t have the margins that you would historically like and you know we’ve burned those off now and as we mentioned we’re positioning more towards industrial, a little left to municipal, which for them we’re easier to win. So I mean, those are things that are worked through as a year anniversary and we’re ready to go now.
Randy Hogan: It’s a good point and actually if I could weave that – your answer back to Deane’s question as well in terms of that systems business – standard systems business. You got to make money in systems and so what John was saying was there was a lot of systems in the backlog without much margin in them and we’ve corrected both the pricing and the costing on that and getting in place disciplines to basically check the as-built versus as-bid profitability to ensure execution.
Deane Dray – Citigroup: Okay. And then a two-part questions, just a more of a housekeeping related. One, in tech products, the end of last contracts, how many more quarters does that run.
Randy Hogan: One more.
Deane Dray – Citigroup: One more, okay. And then secondly, you know, you talked a lot about India, Southeast Asia, could you give us an update on what you’re seeing in China specifically right now.
Randy Hogan: Well, China was lower in the quarter than it has been. But we still expect it – that was one of the places – that was the place that John was referring to when he talked about getting better channel discipline in place so that we don’t get any back channel cross zone.
John Stauch: But Jim, India was up north of 25% percent worth in the quarter overall. Brazil and Latin America still strong, Middle East very robust, Southeast Asia would be more in the mid-single digit level at the moment. And China, absent of that particular SKU changer back channel I mentioned, would’ve been up nearly double digits. So not quite 20 but, you know, still doing pretty well as far as north of DGP. So I still think these are huge fast growth regions for us. I think we’re well positioned with localized manufacturing, localized design, localized marketing now, and I think we’re positioned to see these in the 10 to 15% range for the year.
Deane Dray – Citigroup: Great, thank you very much.
Operator: You’re next question comes from the line of Chris Glynn with Oppenheimer, your line is open.
Chris Glynn – Oppenheimer: Thanks, good morning. 
Randy Hogan: Hi, how are you? 
Chris Glynn – Oppenheimer: Good, thanks. Just wanted to look at the water margin in a little more detail, some upside to your guidance despite revenues, distinctly little on the light side. Just wondering if this is reflecting CPT a little crisper operationally out of the gate here than maybe expected or initially committed to?
John Stauch: Yes I think as we mentioned the margins in CPT are improving, that’s indicative of what we’re seeing as far as anniversering and seeing the expansion. And it has a lot to do with the types of products we’re winning and the type of project we’re delivering on. Also we are seeing a mixed benefit on these flood sales that aren’t going to be there. I mean they are lower margins so we are getting a little kicker on that.
Randy Hogan: And price realization was good, and I think our supply team is doing a better job of managing inflation.
Chris Glynn – Oppenheimer: And second quarters looking like a heck of a free cash flow quarter. Just wondering if you have plans to kind of apply that to debt in the near term?
John Stauch: Yes, and I know, Q2 seasonally is our quarter and it’s primarily from what we do in the early buy in pool and then we collect that cash in Q2, that’s why we see that seasonality and the all-near term applications will be to continue to pay down the debt.
Chris Glynn – Oppenheimer: Okay and then last one just on the interest expense just a little light on the quarter, what factored there?
John Stauch: Yes, there was a little bit, call it roughly about a half a million related to the tax benefits, you know, the accured interest you have on those particular accruals. And the rest is just a little bit lower debt assumptions, being debt and interest.
Chris Glynn – Oppenheimer: Okay, so it that a run rate going forward, the first quarter then?
John Stauch: I would think no, I think the tax is not a run rate but if you just add that half a million back to where we’re at that’s about the run rate.
Chris Glynn – Oppenheimer: Great, thanks a lot.
Operator: Your next question comes from the line of Jeff Hammond with KeyBanc Capital Markets. Your lines is open. 
Jeff Hammond – KeyBanc Capital Markets: Hey, good morning. 
Randy Hogan: Hey, Jeff. 
Jeff Hammond – KeyBanc Capital Markets: Just back to the issues in Western Europe and fast-growth markets that were weaker, I mean, I guess on Western Europe, what gives you confidence that that starts to normalize. I mean, a lot of companies have talked about certainly some stabilization, but still some consternation in that market. And just a finer point on that, on the China, you know, strategic move, is that just a one quarter dynamic or could that leak? 
John Stauch: Let me – I’ll take the first part and then I’ll let Randy comment in addition. Just to give some color, you know, we saw, if you recall in Q3 and Q4 of last year, Europe got a little bit weaker in water. It was still decently strong in Technical Products. If we kind of take a look at where we are in Q1, the year-over-year delta in water has moderated substantially and Tech Products saw nearly a 15% decline. Now, I’m not saying water’s an indicator, I’m just saying that we saw it in the distribution channel on water first and we’re starting to see the year-over-year pressure ease. And as far as the things in China, yes, that is a one-quarter. And I would say they’re every several years, I mean, every once in a while our pricing gets a little challenged and we take a look at our global product lines and our distribution and we make sure that we’re not seeing any of that back channel come through. And a couple product lines in China, we’re seeing them and hearing from customers that they were coming into Europe and North America so we adjusted. Randy, do you have anything you want to add in Western Europe? 
Randy Hogan: Well, I mean, I think you said it well. In fact, Technical Products saw it a little bit later and given the amount of exports they serve, they serve a lot of customers that export out of Europe. We’re counting on as big of decline, which was – it was a double digit decline in the quarter. So you know, hence the adjustment we’ve made in the rest of the year to reflect that. They believe they have a handle on it now and they’re adjusting their cost to protect margins and that’s going to pace. That was really the only place we were surprised by Western Europe. We had it nailed really in the first quarter on the water side. And I think we got – we got a better look at it in Technical Products. 
Jeff Hammond – KeyBanc Capital Markets: Okay, and then along the same lines, I mean, it seems like a lot of these things that kind of went against you were lower margin and some of the things that maybe worked in your favor from a variance were favorable margins. So I just want to understand on the margin upside, you know, how much of that is mix versus surprise to the upside on productivity? 
John Stauch : You know, first of all, we locked in a third of the productivity as both Randy and I mentioned on the repositioning, actions we took last year. So I’d say that’s reading out. Okay. Second, we’re prioritizing our strategic growth investments to reflect those businesses in those programs that are working. As Randy and mentioned, both on the CPT side, we feel better about the projects that we’re winning and how we’re delivering them. And so I think the mix had a small impact on Q1, but you know, I want to remind everybody, I mean, we’ve always said that we’ve got excess capacity in residential today in North America and when any form of recovery or growth comes on that side, we’re going to see higher productivity and higher margins on what was historically a very profitable side of our business. So when we see pool shipments and we see any form of uptick on where we are in residential filtration, that’s going to have nice healthy margins to it. 
Jeff Hammond – KeyBanc Capital Markets: Okay, thanks. 
John Stauch: Thank you. 
Operator: Your next question comes from the line of Brian Konigsberg with Vertical Research. Your line is open. 
Brian Konigsberg – Vertical Research: Yes, hi. Good afternoon, gentlemen. Just coming back to the pool results in the quarter, obviously very good. You mentioned weather as a contributing factor, but really didn’t emphasize it whereas maybe listening to some of the pool distributors, you know, they kind of emphasized it more and thought there would be more of a kind of – there was a pull-forward affecting Q1, but it doesn’t sound like you see that. Do you attribute that dynamic to winning more distributors throughout the year or maybe you could just give us some context around this comment. 
Randy Hogan: Yes, I mean, clearly, the pool year started earlier. When you open a pool, you – it really drives chemicals and it drives, you know, the startup, you’re putting your shock in the pool, a lot of chlorine, ozone in. You’re not changing out equipment unless it broke. So our distributors sell a lot of chemicals, so that’s one difference between what they say and what we say. The second point is these upgrades, which they benefit from too, are ones that can sustain. And when a pool – when the pool season starts early, it usually means it’s going to be a good one. You know, for instance, in the Northeast, the old rule is, if someone’s thinking about putting a pool in, if you don’t have one hot sweltering weekend before Fourth of July, it’s lousy for the pool business. We’re expecting – we’re seeing a return to sort of those kinds of dynamics. I think clearly, you know, when we get an 18% growth in the pool business in the first quarter, and we don’t think we’ll sustain at that level, we think we’ll sustain at a pretty high level. We expect it to be good. And you know, when we add 145 dealers, the reason we’re getting those dealers is we have the most compelling suite of products. We’ve got 35 – we personally don’t, but there are 35 utilities around the country that are meaningfully rebidding the products that we have the best products. So those dealers are coming to us because of the solutions we have. Once we get them, we get all of that they sell usually. So that’s why I call it a beautiful thing, momentum is really something. As we look out in the channels right now, we believe inventory is pretty low. So we don’t believe that they’re over inventories. We think there will be good sell through. 
Brian Konigsberg – Vertical Research: And just going to the balance sheet, I notice that inventories actually picked up quite a bit, a little bit more than you would expect even though Q1 typically is a stronger quarter for inventories, but it was a bit higher than even what seasonality would call for. Can you give us a little bit insight to what’s going on there? 
John Stauch: Yes. I think I’ll answer with two quick things. One is some of the project backlog that Randy mentioned, as you know, as the backlogs grow, our inventory level is going to grow, as we need that demand. Second of all, there’s probably a little bit of pro-channel and retail-related sump pumps in the channel. 
Randy Hogan: We were ready for that extra $15 million. Our service levels are superior to everybody else when it comes to flood, and we maintain inventory, and what doesn’t see through, it stays on our books. So it’s way off next couple quarters.
Brian Konigsberg – Vertical Research: Yes, the guidance provided in Q2, is that reflecting some of that liquidation of inventory there?
John Stauch: No, it’s primarily more the liquidation of the pool, as I mentioned earlier, which will be reflected in the pool sales.
Brian Konigsberg – Vertical Research: Okay, great, thank you very much.
John Stauch: Thank you.
Operator: Your next question comes from the line of Robert Barry with the UBS. Your line is open.
Robert Barry – UBS: Hi, guys. Good morning.
John Stauch: Hi, how are you.
Robert Barry – UBS: Good, thanks. Thanks for taking the questions. Just a couple of things. One, I wanted to clarify the comments earlier on the residential new construction. It sounds like you’re not seeing a significant lift from it, and I know you may be weren’t planning for it, but housing starts are up a lot, albeit off a very low base. So is it just that we’re not kind at some critical mass level yet, or there not being started in the right places, just a little more color on that would be helpful.
Randy Hogan: There up, but when replacement is 80 to 90% where it used to be 50, you know until you get to a million housing starts a year, you know, you’re not really at a normal level. What’s nice is our distributors are actually back to a more normal stocking levels, and so that’s good. On the water softener side, people don’t have to put them in. You only need water softener in certain areas of the country, and it’s something that you can put off if you need to.
John Stauch: And Rob, a couple of things, it’s John. First of all we look at single family housing starts, so I’d look at those numbers, and even though they’re bouncing around, it’s nothing to get excited about what those growth rates are. Second of all, we thought for sure you’d love that Shingo prize, so.
Robert Barry – UBS: Congratulations on that.
John Stauch: Thank you. I appreciate that. 
Robert Barry – UBS: I wanted to also then just clarify on what’s happening with tech products in Europe. It sounds like on the water side things have gotten a little better in Europe and where the deterioration was versus last quarter was on tech product, and I think you said it was down 15%. Do you have any sense of how much of that was destocking versus market demand, etc.
Randy Hogan: Technical products is largely direct to customer, as opposed through distribution. So it was really the reduction and market demand. You know, these are going to control builders or equipment builders largely in Germany and Poland, and France. So their business was down, and generally they don’t stock a lot. So I think its direct demand in that department.
Robert Barry – UBS: And then just finally, I think you mentioned fast growth now for the year up 10 to 15% roughly? Is that excluding CPT benefit?
Randy Hogan: This is just the organic. Obviously when you put CPT in there, it’s much higher, much higher rate.
Robert Barry – UBS: Okay. Thank you.
Randy Hogan: Thank you.
Operator: Your next question comes from the line of Terry Darling with Goldman Sachs. Your line is open.
Terry Darling – Goldman Sachs: Thanks. Just a couple of clarifications. Hey John, did you recalibrate currency in the forecast at all, and if so, any significant impact there to note?
John Stauch: No. What we usually do is we take wherever the ending rate is, and that’s kind of how we look at the currency, assuming we’re not any better at predicting it then the market. So, it’s right around that 130,131 rate, and that doesn’t create a significant delta to the prior forecast.
Terry Darling – Goldman Sachs: Okay, and so just then transition that into the discussion on water organic. I guess it looks you’ve gone from 6 to 8 from 7 to 10 on the organic for water. Is that right?
John Stauch: You’re rate for water, yes on the organic that’s about right. If you break that it will be about 2 point to price, and about 4 to a little north of in value.
Terry Darling – Goldman Sachs: And then, I wonder if you can just give us some collars to, for the segments, preferably the old but I kind of expect the new, around that 6 to 8 around the 4, however you want to give it to use in terms of just the organic expectations.
John Stauch: Yes, I think flow is clearly going to be, you know, the lower single digits. Call it 4 to 5. You know, driven by obviously agriculture being substantially in the double digits, and as Randy mentioned we’re not expecting to recover this retail portion in flood pumps. If you think of the organic of our treatment business, clearly we’re expecting double digit organic with obviously CPT and the old filtration solutions leading the way there, and water purification in low single digits. Still seeing nice fast growth penetration, and not seeing anything substantial in North America residential side. And then aquatic probably just south of double digits or right around double digit growth organically.
Terry Darling – Goldman Sachs: Did you take aquatic up for the year or no?
John Stauch: Yes, maybe a point.
Terry Darling – Goldman Sachs: Okay. Is there anyway of characterizing the margin, may be you did and I missed it, in water in the first quarter excluding CPT?
Randy Hogan: It would be up around 80 to 100 bases points including CPT.
Terry Darling – Goldman Sachs: Super, thanks very much
Sara Zawoyski: We’ll do a quick check on time, just given the time here, how many people do we have left in the queue?
Operator: We currently have three remaining in the queue.
John Stauch: Okay, we’ll take all three and we’ll just go quickly with our answers.
Operator: Your next question comes from the line of Scott Graham with Jefferies & Company. Your line is open.
Scott Graham – Jefferies & Co. : Hi. Good morning. So, I just wanted to maybe ask a more holistic question here. If you look over the last four quarters at the companies average organic sale growth is averaged in the 2 to 3% territory. And the second quarter guidance suggest 5 maybe something a little bit lower than that and your targets 7. A target which I think personably is reachable given your portfolio and the megatrends and all that. What’s missing? Why are we able to may be skirt of these individual quarter issues, and put on a couple of points just from some of these trends that are out there wherever they might be. Is the situation with the company just needs to may be hatch more organic growth projects? It just seems that there’re so many opportunities you’ve laid out that we shouldn’t be where we are now.
Randy Hogan: First of all, you know, to your point, we got a couple of points headwind from Western Europe. Okay, so we’ll just say that’s a big market, that’s down mid-teens or double digit, it’s hard to overcome that completely. The second one is right now CPT is still going through acquisitions, and as soon as CPT comes back into the core, you know, that’s a business that we expect to grow 15 to 20% on an annual basis, and their growth is being reflected in the acquisition line right now. So, clearly I agree with you. I mean we still feel water is, you know, high single digits on an annual growth basis aided by fast growth and it being better position to serve the new new world as Randy mentioned.
Scott Graham – Jefferies & Co. : My question was, what’s missing within all that? Why isn’t it a little faster. I mean, I understand CPT is going to…
Randy Hogan: CPT is mid-teens growth. It’s not yet in our organic growth rate.
Scott Graham – Jefferies & Co. : But where we had a higher organic growth rate a year ago target, before CPT was part of the business, it just seems that you have a lot opportunity, and there just doesn’t seem to be a connection to all that opportunity.
Randy Hogan: Couple things: Not getting any help from North American, which is North American Residential, which is still a good chunk of where we are in our water revenue. And as I mentioned we got 2 point for headwind from Western Europe. But I think core and aligning growth is definitely in line with what we expected to be in. And I think given the prioritization portfolio, I totally expect to be back there in a couple of quarters.
Scott Graham – Jefferies & Co. : Okay, Randy thanks.
Randy Hogan: Thank you, Scott
Operator: Your next question comes from the line of Brian Drab with William Blair. Your line is open.
Brian Drab – William Blair: You guys still sure that you want to continue the call?
John Stauch: No problem.
Brian Drab – William Blair: I’ll just ask one quick question, most of mine have been answered. Regarding the tax benefits in the quarter, can you help me bridge from this 13% rate to the 20% rate, counting the adjustments, and then from the 20% rate to the 29% rate that you said would have been the effective tax rate in the presentation?
Randy Hogan: I mean first of all we think our effective rate could be the rest of the year estimates will be closer to 28 to 29% reflecting incremental tax planning, which are those permit things that you can do to help your tax rate. An unprecedented amount of settlements in the quarter, you know, these are accrual. None of them, you know, more than a half a million and we settled the 2005 to 2009 audits, and went through the appeals process. As Randy mentioned, this certainly wasn’t forecasted. It all came to use in Q1. And then the only difference between what we put in adjust and reported is we take a look back at where we took the accrual, and if we didn’t take the accrual in the adjusted earnings category we released the accrual down and reported, so it doesn’t impact where we took it and where we released it. So, if I bridge that for you it’s about 4 ½ in the difference between reported/adjusted, and then you can take the difference between the tax rate and it’s roughly just south of 7 million of favorable tax items in Q1.
Brian Drab – William Blair: Okay, great. Thanks.
John Stauch: I wish I could forecast them, but you just can’t. 
Operator: Your next question comes from the line of David Rose with Wedbush Securities. Your line is open.
David Rose – Wedbush Securities: Good afternoon.
John Stauch: Hi David.
David Rose – Wedbush Securities: Hi, how are you. Two quick questions. One is on, if there were any specific actions taken to accelerate the improvement in margins to offset the topline weakness in the quarter? (inaudible) pretty clearly about what took place, but was there anything specific when you looked at the shortfall in revenues and said “Let’s accelerate this item”. Was there anything of that nature that took place?
Randy Hogan: No. It was that we, you know, we were targeting to get to get the price realization. We were targeting productivity. We had good readout, it was just basically good execution. So, I would say that, you know, if in fact growth had come through, we would have beaten it by more than a penny, it would have been by a lot.
David Rose – Wedbush Securities: That’s what I was going to ask you.
Randy Hogan: That’s if we had gotten the revenue that we had thought.
David Rose – Wedbush Securities: That’s helpful.
John Stauch: (inaudible) look out the window and you can see the flood impacts no happening, and as we mentioned earlier, that’s not our highest margin item, so there wasn’t a huge panic related to that level of fail ship. 
David Rose – Wedbush Securities: So, you really built in a fair amount of cushion in the quarter to begin with?
Randy Hogan: I wouldn’t say we had a fair amount of cushion. I’d say we had really good productivity. 
David Rose – Wedbush Securities: And then lastly, I’ve see some fairly impressive wins on the X-Flow pretreatment side of the business, and was wondering if there are any crossover selling benefits from those pretreatment sales into other parts of either a new house or Pentair, even extending up beyond into (inaudible) we start to see those mega project pickup in 2013.
Randy Hogan: We do see that, you know, we now have a special line of housing that have been built for X-Flow so it’s pulling through that directly. There’s other filters that can get sold in or around them helping us get better at that on the pumps around the larger projects. And, you know, on the smaller standard systems side, you know, we’ve gone internally to X-Flow where we obviously we’d buy them from other people before.
David Rose – Wedbush Securities: So, even on some of those legacy contracts like, (inaudible), we could see some benefit on your side?
Randy Hogan: Yes. Even, as I mentioned, we have housing for the X-Flow but, you know, we’ve gotten housings for the RO membranes, we don’t make RO membranes. We’re the leader in them now, and our hit rate in that has improved. As I mentioned our (inaudible) performance wasn’t just CPT related, it was our core of total line business. So we definitely, I believe it’s helped us with (inaudible).
David Rose – Wedbush Securities: Okay, thank you very much.
Randy Hogan: Thank you. Go ahead and wrap it up.
Operator: There are no further questions at this time. Speakers, do you have any closing remarks.
John Stauch: No, just give them the replay. Thanks for your attendance.